Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Lennox International's Second Quarter Conference Call. At the request of your host, all lines are currently in a listen-only mode. There will be a question-and-answer session at the end of the presentation. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the conference over to Steve Harrison, Vice President of Investor Relations. Please go ahead.
Steve Harrison: Good morning. Thank you for joining us for this review of Lennox International's financial performance for the second quarter of 2022. I'm here today with CEO, Alok Maskara; and CFO, Joe Reitmeier. Alok will discuss the highlights from the quarter and key strategic developments and Joe will take you through the company's financial performance and outlook for 2022. After that, Alok will provide closing comments and take us into Q&A. To give everyone time to ask questions during the Q&A, please limit yourself to a couple of questions or follow-ups and re-queue for any additional questions. The earnings release with GAAP to non-GAAP reconciliations, today’s presentation slides, and the webcast link for today’s conference call are available on our website at www.lennoxinternational.com. The webcast also will be archived on the site for replay. All comparisons mentioned today are against the prior year period, unless otherwise noted. Turning to Slide 2, I would like to remind everyone that in the course of this call, to give you a better understanding of our operations, we will be making certain forward-looking statements. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from such statements. For information concerning these risks and uncertainties, see Lennox International's publicly available filings with the SEC. The company disclaims any intention or obligation to update or revise any forward-looking statements whether as a result of new information, future events, or otherwise. Now, let me turn the call over to CEO, Alok Maskara.
Alok Maskara: Good morning and thank you for joining us today. I have enjoyed meeting with many of you since I started on May 9 and I look forward to more conversations so that I can continue to get insights and perspectives from all our key shareholders. I'm happy to kick off my first Lennox earnings call by reporting a record quarter with record revenue, record EBIT, and record EPS driven by strong growth. Before I begin, I want to thank all our employees for their hard work towards improving service levels given the global supply chain disruptions. It is their hard work and perseverance that has enabled us to deliver record revenues and profits. Please turn to Slide 3, where I want to highlight four key messages. One, we had a record quarter driven by continued strong execution in our Residential and Refrigeration segments. Company revenue was a record at more than 1.3 billion, up 10%. Adjusted earnings per share was a record as well at $5 per share, up nearly 10%. Our turnaround efforts in our commercial factory in Stuttgart remains on track and we are pleased with the sequential improvement in our quarterly results. However, supply chain disruptions continue to constrain production and our ability to meet strong demand. Second, we continue our disciplined capital allocation strategy as we repurchased 100 million of stock and paid 33 million in dividends in the second quarter as we generated $97 million in cash from operations in the quarter. Third, the company continued to advance its strategic priorities with a focus on innovation and ESG. I will talk more about these in a moment, but we are the first company to complete the Department of Energy's Cold Climate Heat Pump Challenge and we recently published our latest ESG report that includes the company's science based targets. Fourth, we are increasing our full-year revenue guidance and are also raising the low end of our full-year EPS guidance range. Now please turn to Slide 4 to discuss the company's recognition for being the first to achieve the objectives of the DOE Cold Climate Heat Pump Challenge. Homeowners in colder climates have traditionally relied on fossil fuel heating for their homes. The DOE challenge was created to accelerate cold climate heat pump advancements for colder climates and revolutionized the HVAC industry with a solution that offers comfortable cooling and heating, while significantly lowering greenhouse gas emissions. In June, I was honored to host the Secretary of Energy Jennifer Granholm, who traveled to the Dallas area to recognize the Lennox team for the accomplishments and advancements in affordable, clean and efficient heating and cooling solutions. Lennox takes great pride in designing, manufacturing, and delivering the most efficient climate controlled products on the market. Even before the challenge, the Lennox advanced technology team was already working on the development of a Cool Climate Heat Pump to add to our extensive line of best-in-class heat pump products already on the market. The cold climate heat pump represents our dedication as a company to accelerating environmental sustainability through ongoing product innovations, advances in efficiency gains, and greenhouse cat emission reduction targets. Turning to Slide 5, our 2021 ESG report has been published and is now available on our website. Beyond our leadership in heat pumps and dedication to decarbonization, our latest ESG report highlights that our emission reduction targets are now approved by the science based target initiative. This initiative is focused on climate action in-line with the goals of the Paris agreement to help prevent the worst impacts of climate change. The ESG report covers how we are meeting or exceeding our improvement targets in environmental, as well as the continual progress we are making in diversity and inclusion, and of course strong governance is fundamental and the bedrock of Lennox. I encourage all our stakeholders to read the report and continue following our ESG progress. Now, I will hand the call over to Joe to discuss the second quarter financials on Slide 6. 
Joe Reitmeier: Thank you, Alok, and good morning, everyone. Looking at the second quarter for Lennox International overall, the company posted record revenue of $1.37 billion, up 10% as reported and up 11% at constant currency. GAAP operating income was a record $227 million, up 5%, and in the chart, you see that total segment profit rose 4% to a new record $230 million. Total segment margin was 16.8%, down 110 basis points, primarily due to inflationary pressures, global supply chain disruptions, and factory inefficiencies. GAAP EPS was a record $4.96, up 10% and adjusted EPS was a record $5, up 9%. Moving to the business segments, starting on Slide 7, you will see a record quarter for residential in revenue and profit. Against the 30% prior year revenue growth comparison, residential revenue came in at a record $978 million, up 17%. Price was up 13% and volume was up 5%. Mix was down 1% as we still saw supply constraints on our high-end products in the second quarter and we expect this to be the case through the second half of the year.  Residential replacement sales were up mid-teens and new construction was up high-teens. Residential segment profit rose 14% to a record $216 million. Segment margin contracted 50 basis points to 22.1%. Cooling degree days were favorable in the prior year quarter in the Southeast and South Central regions in the U.S. but cooler elsewhere. We opened two new Lennox stores in the second quarter and are targeting 20 to 30 new stores this year [weighted] [ph] to the second half, and we now have 235 Lennox stores. Now, turning to Slide 8 in our commercial business. Revenue was $220 million, down 13%. Volume was down 22%, price was up 4%, and mix was up 5%. Commercial segment profit was down 62% to $17 million, and segment margin contracted 1,010 basis points to 7.8%. Commercial end market replacement demand remains strong and we have made significant progress in hiring factory direct labor at our factory in Arkansas to support that, but supply chain disruptions continue to significantly impact the equipment business. Commercial improved sequentially in the second quarter and we focused on prioritizing key national account customers and school business during the summer months. We announced a third commercial price increase of August 1 and continue to expect commercial improvement in the second half of the year. Looking at our Refrigeration business on Slide 9, you see second quarter record revenue and profit. Refrigeration revenue was $169 million, up 14% as reported, price was up 12%. Volume was up 9% and mix was down 1%. Foreign exchange had a negative 6% impact, so revenue growth at constant currency was 20%, led by more than 30% growth in North America. Order rates and backlog remained strong and in Europe, Refrigeration revenue was up high single digits at constant currency, Europe commercial HVAC was up mid-single-digits at constant currency. The geopolitical environment is weighing on the market regionally and supply chain disruptions continue to impact our European operations. Overall, for the Refrigeration segment, profit rose 73% to $23 million and segment margin expanded 470 basis points to 13.8%. Turning to Slide 10. Let's review our 2022 full-year guidance. We are raising revenue growth guidance to 10% to 15% up from a prior range of 7% to 11%. For the industry, we continue to assume low-single-digit shipment growth in the North American Residential market and mid-single-digit shipment growth in North American Commercial unitary and Refrigeration markets. We are raising the low-end of our guidance for GAAP and adjusted EPS to a range of $13.80 to $14.50, compared to the prior range of $13.50 to $14.50. Price is now expected to be a $400 million benefit for the year, which is a 9.5% yield and this is up from our prior guidance of $335 million in price. Residential mix is expected to be a $25 million headwind for the full-year, compared to the prior year guidance of being neutral. This is primarily due to continued supply disruptions that are impacting the high-end of our product lines. Commodity cost inflation is now expected to be $130 million, down from the prior guidance of $140 million. However, we are still seeing inflationary pressures on components and other materials and now expect a $100 million headwind, compared to prior guidance of a $70 million headwind for other components. Factoring efficiencies are now expected to be a $15 million headwind, compared to prior guidance of being neutral and freight costs are now expected to be a headwind of $20 million, up from prior guidance of $15 million. Interest and pension expense guidance is $35 million, down from prior guidance of $40 million. Other guidance points are not changing. We still expect corporate expense to be $95 million. The effective tax rate is still expected to be between 18% to 20% and foreign exchange is still expected to be neutral for the full-year. We are planning for $125 million capital expenditures, and then regarding free cash flow for this year, the third quarter has a solid start with continued hot weather, and as we get into the other side of the summer season, we have more of a read on macroeconomic – on the macroeconomic environment with rising interest rates, as well as the supply chain and our progress of converting raw materials and whip into finished goods and shipments, we will know more. We are maintaining free cash flow guidance of approximately $400 million this time for the full-year, as well as $400 million of total stock repurchases for the year with $300 million already completed. We still expect a weighted average diluted share count of approximately 36 million for the full-year. Now with that, let's turn to Slide 11 and I'll turn it back over to Alok.
Alok Maskara: Thank you, Joe. Looking at the second half, we are mindful of a potential slowdown in the U.S. economy. And with interest rates rising, a potential decline in residential new construction. We are prepared and have contingency plans in place, but to be clear, that's not what we are seeing in our business today. Demand continues to run ahead of our ability to fully satisfy our customers as supply chain constraints persist. Due to the supply chain challenges, factory inefficiencies continue to impact performance, especially at our Arkansas factory for commercial. As we look ahead, we have a strong backlog and order rates across residential, commercial, and refrigeration.  Commodity inflation is easing and our ongoing productivity and material cost initiatives will positively impact the business and be evident as the supply chain normalizes. Before we go to Q&A, let me close our prepared remarks on Slide 12, by summarizing why I believe Lennox is a great company and what excites me most about being the CEO of Lennox. A company with 127 years of history and a [Technical Difficulty] value driven culture. We are the leader in energy efficient climate control solutions operating in high growth end market with strong replacement demand. We have an ESG mindset and are narrowly focused on HVACR. The company has innovative products with a unique direct to dealer network and we have a history of robust execution and disciplined capital deployment. Thank you for listening. Joe and I will be happy to take your questions now. Operator, let's go to Q&A.
Operator: [Operator Instructions] We're going to start question-and-answer with the line of Julian Mitchell with Barclays. Please go ahead.
Julian Mitchell: Thank you very much and welcome, Alok. I hope it's been a smooth start so far. I suppose…
Alok Maskara: Thanks Julian. Good morning. Excited to be here.
Julian Mitchell: Good morning. Maybe just a first question around that commercial business and how you're thinking about the pace of margin improvement there as you go through the third and fourth quarters, it does sound like you're becoming more satisfied or less dissatisfied with the, sort of plant efficiency there. So, what kind of maybe margin exit rate could we see entering into 2023, for example, in the Commercial segment?
Alok Maskara : Julian, great question. I would hate to give you a number now. We are still in the midst of a turnaround. And I was pleased to see sequential improvement and our long-term goal of getting that business to an 18% to 20% range in margin still remains valid, but given the shortage of components that – not just Lennox, the whole industry is facing right now, and the disruption in supply, I think it's a little early for us to give a specific number for Q3 and Q4. Our focus on commercial remains serving our customers, protecting our key accounts, serving our school based, and personally, I will be expecting small, but steady sequential improvements in the business going forward. But it's going to be slower than our like, slower than our shareholders would like, but we are making good steady progress, Julian.
Julian Mitchell: That's good to hear. Thank you. And then maybe my second question just around the, sort of any sense of the weighting of earnings between Q3 and Q4, anything unusual this year because of price cost and in terms of how that plays out? And I guess to, sort of put a finer point on it, if we're looking at say Slide 10, you've got a very good summary on the right hand side that you ran through. If we're thinking about the price of [400] [ph] and the commodity cost of minus 130, how do we think about those in the second half versus the first half, those two numbers?
Joe Reitmeier: Yes. Julian, I think you can almost mirror the price where we've got 400 million of price out there, 225 million we've already captured first half, 175 million second half. I would split the cost almost accordingly with respect to that, and then the cadence or seasonality of earnings, I think we're getting more and more close to what I would characterize as more routine or normal seasonality within our business. Last year it was a little bit disrupted given the strong first half we have when we were up significantly first half and then things seem to slow down second half. Things seem to be just the opposite this year, where we had a little bit slower start. The first half largely because of the tough comps, but that momentum continues in the second half. And I think once again, we'll get back to more normal earnings seasonality, if you were to look back to 2017, 2018 timeframe.
Alok Maskara: And Julian, I would just add to that to remind that the second half pricing is going to appear to be lower just because we start lapping ourselves on price increases that we did last year. So, it doesn't mean we are giving back price or anything, like we are clearly going to hold price, right.
Julian Mitchell: Great. Thanks Alok, and Joe.
Operator: Next question comes from the line of Jeff Hammond with KeyBanc. Please go ahead.
Jeff Hammond: Good morning, guys.
Alok Maskara: Good morning, Jeff.
Jeff Hammond: So, just back on commercial, how are you thinking about, kind of the balance between the headwinds being supply chain and the headwinds being labor and just, kind of update us on progress on recapturing the labor in Stuttgart? And any thoughts around, kind of diversifying production within commercial long-term?
Alok Maskara: Sure. So, I think commercial turnaround remains a huge focus of ours. On the labor situation, the actions we took earlier in the year are bearing fruit and we are now meeting our hiring goals and our retention goals. So, I think while you don't declare victory on that, I think labor situation is now under control and our biggest bottleneck at this stage remains availability of components and improving factory processes to get the right quality output. I guess from a going forward perspective, as I look at supply chain, clearly, we got to diversify our supply chain, get more than one supplier, but there are some industry wide part shortages that we are dealing with. And that remains our focus. On your longer-term question, Jeff, yes, I mean, listen, this is a growth industry. We have previously talked about our desire to have a second factory and we remain committed to that thought process. We're going to go a little slower than what we may have thought simply because if we take a factory with poor processes and replicate it, I will have two factories with poor processes. So, I think we're going to take our time to make the right decision, find the right location, and improve the processes, but be on the lookout. When we have the Investor Day in December, we'll give you more color on it, Jeff, but we remain committed to expanding capacity and winning back the share that we might have lost through this disruption.
Jeff Hammond: Okay, great. That's good color, Alok. Just on some of the early feedback on this seer and some of the regulatory changes and the cost price component into 2023 around that has been coming in higher. And I'm just – maybe just speak to one, your readiness for the change in kind of the redesigns you're doing and what you think the inflation around the regulatory changes into 2023 look like? Thanks.
Alok Maskara : Sure. So, the answer is, we are 100% ready. This is a smaller change than what us and the industry have dealt with in the past. We went from 10 to 13 in the past. I mean, we are going from 13 to 14, not 14 to 15. So, I think we are 100% ready and I believe overall the whole industry is going to be ready. We are in the most inflationary time that we have ever seen in our careers, at least a few of us. So, clearly, I think this is a great opportunity for us and the industry to make sure that we capture the full value of the seer change in pricing. We intend to do so. So, I think if you're seeing indication in the industry that the price is going to be better, I think that's good discipline and that helps us to invest more in products that are environmentally friendlier and the newer technology. So, we are 100%. The value will be captured in price and if anything, I think the industry margin should expand because of the change. And I don't expect any huge stock up or pre-buy just because at least we still remain in a supply constrained environment, not a demand constrained environment.
Jeff Hammond : Okay. Good color. Thanks so much.
Operator: Next question comes from the line of Gautam Khanna with Cowen. Please go ahead.
Gautam Khanna: Hi. Good morning. Congrats on the new role. Hello.
Alok Maskara: Thank you.
Gautam Khanna: I have a couple of questions. First, I was curious if you could speak to – the long-term framework that the company has provided in the past for financial guidance has been somewhere around mid-single-digit sales growth of 30% incrementals. Do you agree – do you largely buy into that framework?
Alok Maskara: I do. And the reason we didn't talk about long-term guidance this quarter because there is no change to it. So, there is no update and I think we have previously said that, I wouldn't expect any updates just because there's a new CEO. I mean, if we need to change things because of macroeconomic conditions or something else, but yes, I mean, I risk the incrementals of 35% and I'm looking at Joe is smiling as I say that, but no, there is no change or update to that Gautam.
Gautam Khanna: Okay. And we've seen a dip in copper, aluminum, and steel costs. Could you update us on how quickly those could – the spot rates that we've seen in the last quarter can flow through the P&L and what you mentioned component costs are still rising? And so, just maybe if you could square the percentage of COGS that comes from [raws] [ph] versus components and how it all kind of could [nets] [ph] benefit next year, if at all?
Alok Maskara : Sure. At this stage, as commodity cost ease, I mean, Joe already mentioned that we have reduced some of our guidance range from – by $10 million, if the cost is more, we might see slightly more benefits, but frankly, most of the benefit of any commodity easing is likely to be in 2023 because given the inventory we hold and the pre-buys, we all have done for locking in commodity pricing, the impact is going to be in the Q4 2023 timeframe. I'll let Joe talk about, sort of the walk between the different pieces, but keep in mind that beyond the commodity and the component costs, we have many other inflationary pressures such as labor costs, such as healthcare costs, such as real estate costs, but Joe, please feel free to add any more color to that.
Joe Reitmeier : Yes, I think that's correct. We did take the commodity guide down 10 million and that's for the benefit of what we see in the second half of the year, net of our hedge positions. And if commodity costs remain where they're at today, what we'll see is we'll see a lift in the second half of 2023. Once again largely become [aware] [ph] prices were in the first half and then also where we have prices locked in with our hedge positions.
Gautam Khanna: Okay. And just a last one. Have you seen any – if you could talk about the supply chain, where things still are – what your visibility is to things improving? Where are pinch points getting worse? Where they've been stable? Where are they getting better? Just if you could talk to that?
Alok Maskara : Sure. So, I'll say for things such as freight and availability of freight, things are getting better. So, I think that's an industry wide phenomenon. We like that. If you look at availability of sort of components, it's a mixed bag. I think there are quite a few components, which is getting better, but in some commercial components, we seem to be facing industry wide shortages, right. So, I think that's something that we have to continue watching out for. The whole issue around semiconductor microchips, I mean, that remains our biggest pinch point right now. And despite redesigns, despite adding vendors, we still expect to see significant improvement only in early 2023 at this stage, but net-net, the positive here is that things are no longer getting worse. I mean for the longest time as we looked at it, we kept finding new things as we played [whack em' all] [ph]. So we're still playing a bit of [whack em' all] [ph], but it's on existing things and we don't see anything specifically getting worse. But every time I say something positive, I turn out to be wrong here. So, let's be cautious as we go forward. The team is working extremely hard. We have a very talented team that continuously watches and monitors the performance of our supplier base.
Gautam Khanna: Thank you.
Operator: Our next question comes from the line of Jeff Sprague with Vertical Research. Please go ahead.
Jeff Sprague: Thank you and good morning, everyone.
Alok Maskara: Hi, Jeff.
Jeff Sprague: Hey, Alok. Hey, Joe. A lot of ground code already. I'd be interested in a little bit more context from, kind of an overall portfolio thought process Alok. You expressed a lot of comfort and the fact that you like that the company is basically a pure play company. So, it doesn't sound like you have big strategic moves on your mind, but as you've settled in there a little bit and looked at the portfolio, do you see opportunities for bolt-ons in various areas? Also a lot of discussion about commercial, but I just wonder about refrigeration and what work you might need to do there that to get the margins on even better trajectory?
Alok Maskara: Sure. So Jeff, I think the view hasn't changed. We like being focused. We like being HVACR and we will continue doing so. So, yes, if your big strategic thing means if I'm going to go buy a smoke alarm company probably not. I mean, we're not going to be doing that. So, I think from that perspective, that's good. But being a smaller player in a larger industry, we have another lower market share among the Top 4 companies. We see tons of opportunities for bolt-on. Tons of opportunities for product expansion. Tons of opportunities for geographic expansions within U.S. and outside U.S. So, yes, I do see significant opportunities there. On Refrigeration, it's a good business. There are pockets that are better than others and that's a review that's ongoing for us as we look through it. Of course, our short-term focus is to improve the performance of the business. I believe every business unit within the Refrigeration segment has an opportunity to do better and that's what I want the team to focus on. As we look through the overall situation and come back and present to you in December on how we will take each of our business segments to a higher margin level. So, still remain very excited about the portfolio, still continue to evaluate lots of bolt-on and partnership opportunities, and yes, we would not be going into far adjacencies in any big bold strategic move because I think that's not who Lennox is.
Jeff Sprague: Great. And could you elaborate a little bit on how you're thinking about share gain or share recapture? I would assume it's maybe a, kind of a dealer oriented strategy, but I'll let you answer. Any color there would be appreciated.
Alok Maskara: Sure, Jeff. I think the first thing for us is to be able to restore our supply and manner fracturing capability. We had a history of share gain or maintaining share. And ever since the Marshalltown tornado, we have struggled to recapture share or gain share. So, our first focus is going to be restoring our manufacturing capability. So, salespeople, instead of apologizing to dealers for not having products, are going to spend more time getting new dealers on board. So, I think that's our number one piece, right. Second for us is relying on our innovative new products. And we have quite a few, but again given supply conditions, we have not been able to fully market and launch those to gain share. Let's take heat pumps as an example that we talked about. Third one is just proven strategy, opening new stores. When we didn't have enough products, we didn't open new stores because those stores would be half empty, but as we get inventory to be in a better spot, you're going to go back to opening new stores. And yes, if I package it all together, of course, we need to add more dealers, of course, we got to get back into the commercial, the curbside replacement business, which we have, sort of walked away from. And of course, we got to expand our geographical footprint. There are pockets of U.S. where our market share is much lower just because of our historical footprint and no other reason. So, I'm very excited about the opportunity to gain share. We believe we have strong value propositions and our dealers love our value proposition that we are direct-to-market and don't have to go through a distributor all the time. So, I think there's lots of opportunities and we'll tell you more in December, Jeff.
Jeff Sprague: Great. Thanks. Good luck.
Alok Maskara: Thanks.
Operator: Our next question comes from the line of Ryan Merkel with William Blair. Please go ahead.
Ryan Merkel: Thanks. I wanted to go back to the question about the SEER change impact for 2023, how much are you raising prices on basis for 2023 because of the SEER change?
Alok Maskara : Ryan, we haven't declared the price for our 2023 lineup yet, but at minimum if you think we are going from 13 to 14 or 14 to 15, you should think of that being baked into the price, right? This percentage SEER change baked into percentage price, but clearly, there are many more complicating factors and it depends also on where we are in the inflationary cycle, but yes, we do expect to capture that on price, but we haven't announced a price level for our 23 line [indiscernible], Ryan.
Ryan Merkel: Got it. And what percent of sales would this change impact?
Alok Maskara: As you know, the lowest or sort of the base layer typically accounts to 50% to 60% of the industry sales and we expect the new SEER would be about the same. Now, we hope to use the opportunity to upsell the consumers on a higher SEER product because we still make the, like the highest SEER products in the industry. But I think a 50% to 60% number, Ryan, which has historically been true, will remain for the shutdown.
Ryan Merkel: Okay, makes sense. And then I will follow-up on commercial. There's a view that commercial could buffer potentially slower resi demand in Q3. So, how is quoting and booking trends looking? And do you have enough backlog that extends into [Technical Difficulty], such that there could be a buffer?
Alok Maskara : April resi slows, which as we mentioned earlier, we haven't seen signs in our order book, but it could be masked because of the weather patterns we're having. Yes, I do think commercial should be a buffer. A, based on volume; b, for us also based on the margin opportunity, because remember our commercial margin opportunity is probably larger than others, given that our current state is challenging. The whole industry, not just us, at this point, we are sold out for 2022. So yes, we do have backlog for 2023 as well, but some of those backlog is still tentative as we work through pricing, availability, and design. In the short-term, we are extremely busy just in the 2022 order, but as residential slows, I agree with you, Ryan. I think commercial should give us buffering both from volume and from margin perspective.
Ryan Merkel: Perfect. Thanks so much.
Operator: Our next question comes from the line of Josh Pokrzywinski with Morgan Stanley. Please go ahead.
Josh Pokrzywinski: Hi, good morning all and welcome to the call.
Alok Maskara : Good morning, Josh.
Josh Pokrzywinski: Just want to follow-up on an earlier comment, Joe, that I think you made in terms of recognizing commodity deflation, really more in the second half of 2023 based on the hedges. I guess that sounds like, I don't know, couple of quarters later than history. And I guess as it pertains to steel, I'm kind of unaware that [mills] [ph] would let you lock out that far. So, just wondering if there's something, kind of unusual about this environment in terms of that duration, kind of driving that later than expected realization there?
Joe Reitmeier: Not really, maybe earlier, Josh. Once again, it's pretty volatile at this time. Once again, it's the year-over-year comps that I was referring to. It does take a little bit of time for those components because we pre-build inventory earlier in the year to work their way through inventory into cost of sales or on the P&L and that's really the dynamic that I was counting on.
Josh Pokrzywinski : Got it. And then just second question…
Alok Maskara: Josh, that was just to know, you and I both would be happier if it falls through sooner, right? So, I think what Joe's saying, no later than second half, right. So, let's see where volatility takes us.
Josh Pokrzywinski : Okay. Fair enough. Yes, I guess the last six months have probably humbled a lot of people trying to forecast input prices. On the SEER change and kind of price impacted that in the marketplace, look, if I look back to 2015 and the regional SEER standard that took over that year, I think price mix for a lot of the industry was like low-single-digit to best and probably no different than a normal year. I'm just wondering what's kind of unique about this point in time where you would think that would be higher, especially with some of the deflation coming in and a couple of folks having ceded share with supply chain interruptions?
Alok Maskara: Sure. I mean, I could start by saying, I wasn't here in 2015, so maybe we didn't raise price as much. But I think in all seriousness, we are in an extremely inflationary environment globally on every product. And I think the discipline set of competition that we have, everybody is going to look at this opportunity, to make sure we capture the full value of it. I mean a consumer has to keep in mind that the equipment costs are less than half of the total cost that they are paying for and there’s a strong replacement component, and there’s an energy efficiency benefit. So, I can’t answer the question on 2015, but in today's supply constrained environment where labor, material, all the inflation has been high, I would expect the SEER change to drive incremental price benefits for us and for the industry.
Joe Reitmeier: And I would also add there, Josh, it's also going to come with a bit of a mix benefit as well. Remember, I believe the last SEER change only covered half the country. So, this one is the whole country. So, I think that will present a little bit different dynamic. And then once again, it will be a combination of both price and mix benefit in 2023 from the SEER conversion. 
Josh Pokrzywinski: Got it. Appreciate it. Best of luck to you both.
Operator: Our next question comes from the line of Nigel Coe with Wolfe Research. Please go ahead. 
Nigel Coe: Thanks. Good morning. By the way, I love the slides. So that's a nice innovation I guess. Just on the…
Joe Reitmeier: We did promise that in the last conference that we would have slide, Nigel. So, I'm glad you noticed.
Nigel Coe: There you go. There you go. I notice these things. It's good. But first of all, Alok nice to see you on board. So, the [Technical Difficulty] price for the full-year, I mean, how does that look by business? And the spirit of the question is, obviously commercial with 4% prices lagging behind. So, just wondering if we're going to see some catch up on price in the back half of the year? And maybe that could be a force for improving margins for commercial in the back half, but on the commercial business, I'm just wondering how we view normal margins for that business? And again, just thinking about the labor increases, the labor cost increases we've seen at the facility, does that in any way pinch longer-term margins for commercial?
Alok Maskara: Yes, lots of good questions. So, let me start by talking about sort of pricing. So, I think your observation is correct. Commercial is lagging behind on pricing, but they are doing better than what they did in Q1. So, we are pleased with sequential improvement. That's a business, as you know, is heavily dependent on key accounts. So, as the key accounts negotiations continue, we are moving forward and we're getting more. And it was mentioned in the script that we have announced another price increase that goes into effect August 1. So, I would expect commercial to catch up on pricing. Additional thing to keep in mind is that the SEER change that's coming in 2023 would require a new set of products, which means there's an opportunity to establish new price levels since the current contracts do not describe price levels for the new product, which are necessary and mandated by 2023. So, I do expect a step change in price for commercial as we approach 2023? The labor cost is a unique thing. So, as we go through the math to your question, first of all, hourly labor is not a huge portion of our labor cost. So, that's one, right. Second, I think we are taking the opportunity to upskill our workforce and offset some of those increases based on higher quality, lower scrap, and also in the long-term looking at a second location, which is likely going to be in a lower labor location, lower labor cost location versus where we are now. So, in the short-term for a quarter or so, is it an headwind? Yeah. Is it material in the big scheme of things? No. I think there are other things such as just our scrap and over time, that all kills us more than the higher hourly wages. So, I don't have lots of detail probably more than you wanted, but yes, commercial needs to catch up on price and we are confident that we'll do better in the second half, and we're even more confident that we'll do better in 2023.
Nigel Coe: Okay. No, no, we like details. So, don't worry about that. But again, come back to [indiscernible] price for the full-year. And maybe just what are we [baked] [ph] into residential that number? Maybe if you could just clarify, does the SEER change? Is that baked in at all to that number? I think that's more of a mix in the price, but that's [split and has] [ph], but just want to make sure that's not in the numbers.
Joe Reitmeier : Yes, we've got it all broken. We've not given price by segment, but it's probably not much different if you were to do the math on what you see in the first half of the year by each segment. Once again, we just instituted another price increase in commercial that will give us more of a lift in the back half of the year and going into 2023. But once again, I'm not going to breakdown price by business, but once again, we remain confident that we're going to deliver 400 plus million at a minimum.
Nigel Coe: Thanks Joe. Thanks Alok.
Operator: Our next question comes from Steve Tusa with J.P. Morgan. Please go ahead.
Steve Tusa: Hi, guys. Good morning.
Alok Maskara : Good morning, Steve.
Joe Reitmeier: Hi, Steve. 
Steve Tusa: Congrats. on the post here and I echo – I agree with Nigel, great to see the slides and a little bit easier to absorb in a busy morning. Just on the free cash flow, how do we expect that to play out for 3Q and 4Q? Is that – I mean, I know 3Q is obviously seasonally heavier. So, should we expect more of it to come in 3Q or more of a flush in 4Q?
Joe Reitmeier: I think it will be more of a flush in [4Q] [ph], to be honest with you Steve. Another thing that we're going to continue to keep our eye on is availability of raw materials. And if we have the opportunity to carry more raw materials than normal to prevent some of the disruptions we see in the supply chain, we may do that later in the year. They may have implications on free cash flow, but don't think it will be material, but we'll have to just keep an eye on that as well. But those are sort of the things that I would expect. Once again, probably getting back to what I would characterize as a more normal seasonality of our cash flow. Once again pre-tornado.
Steve Tusa: And then as far as the seasonality of your earnings in the second half, should that be pretty normal, just remind us of what that split would be just at a roughly? 
Joe Reitmeier: Yes, I think if you were to invert the second and first quarter this year and the third and fourth quarter of this year, I think you'll come up pretty close.
Steve Tusa: Okay, great. And then one last one. Where are you in terms of your independent channel and loading it for the new SEER products?
Alok Maskara: Sure. As you know, in residential, most of our – majority of our sale or vast majority of our sales go direct to dealer. So, there's clearly no loading going on. Some of these guys may buy garage load or so, but they're not doing that. On the allied or the distribution channel, we remain in supply constrained world. So, we not currently have any plans to preload on a higher share basis, but that might change if demand slows and we get into Q4 and have more of an opportunity to do that, but we will be fully prepared. And if as you know, if needed we'll move units from south to north based on manufactured date versus all the other wonderful things that the industry is already used to doing. So, we're not concerned and living in a supply constrained world. We'll continue evolving, but we don't expect a significant amount of pe-build of pre-sale like in the previous SEER change.
Steve Tusa: But I guess for the South, they have to have the product to start selling it on Jan 1. So, I would assume that kind of mix in has to happen there, maybe not a pre-buy, but like certainly a gradual transition in the channel. Am I right about that or not? Because that's an [installed base] [ph].
Alok Maskara: Yes, you are absolutely right. And that was my comment around Q4. So, by the time Q4 comes in because most of our dealers and distributors are like, you know, they are turning inventory at least four times a year, right. So, like [Q4 times] [ph], we'll start shipping those. 
Steve Tusa: Yes. Great. Okay. Thanks for the color. Appreciate it. Good luck.
Alok Maskara: Thanks.
Operator: [Operator Instructions] Our next question comes from Joe Ritchie with Goldman Sachs. Please go ahead.
Joe Ritchie: Hi, good morning and welcome Alok. Congratulations.
Joe Reitmeier : Good morning, Joe.
Alok Maskara: Thanks Joe. Good morning.
Joe Ritchie: Sorry if I missed this in your prepared comments, but I'm curious to the 17 points of growth you saw in resi this quarter, how much of that was volume?
Alok Maskara : 5%.
Joe Ritchie: Okay, 5% volume. Did that 5% volume, [Technical Difficulty] Lennox or did one grow quicker than the other?
Joe Reitmeier : Yes, we don't – and we've not broken that out. Once again, what I'll say is, we continue to see strong demand on both channels or in both channels.
Joe Ritchie: Okay. And then maybe just going back to the commercial margin, so clearly, obviously, it's been a difficult last few quarters and you guys, seemingly sounds like things are getting a little bit better. I'm just curious like if you kind of think about the margin improvement in that business for the second half of the year? Like how should we be thinking about kind of like the right margin for that business either sequentially or for the rest of the year?
Alok Maskara: Yes. I think it's really hard when you're at turnaround situation to give exact numbers, but I would say, we were pleased that Q2 was better than Q1, even if it's modestly better, I would expect a similar pattern in Q3, Q4, but even if you have to take a hit for a quarter here and there, I mean, our long-term goal remains to protect our customers, serve the schools, make sure we go through the share dynamic. Our long-term goal is to get that business up to 18% to 20% margin. That might take us two years. I wish it’s less than that, but that's where we focus on, but I think a small sequential improvement is what we would plan for rest of the year, but given the situation and still quite volatile, I wouldn't want to tie down to any specific numbers yet.
Joe Ritchie: No, that makes a lot of sense, Alok. And I know maybe my in the last question, I know you're not seeing it in your business today, but I'm sure you guys have done some sensitivity analysis around what a resi downturn could look like? Maybe just help us with any type of framework that you guys would approach a potential downturn if we start to [see it in revenue] [ph]?
Alok Maskara: Sure. Every time I read Wall Street Journal, I come to the office and say, oh, we are going to face a downturn. And then I look at the order rates and it turns out to be wrong. So, this has been going on ever since I started. The broader question that you asked is, clearly very seasoned team, we have run scenarios on all different aspects.  On the residential new construction, just based on slower housing starts, we can model that pretty effectively and we know how many months after a home starts, HVAC goes in. So that part is easy for us to model and we are doing that. We clearly are going to offset that with new programs to gain share and also remind everybody that 20% of our business, not 80%. On the 80%, which is replacement, we feel very good that very little of that will move from replacement to repair, especially given the part shortage, there's historical refrigerant changes, there's SEER changes. But then again, we have modeled that different aspects. What if 10% changes from replacement to repairs? And then, of course, our goal is to get value out of those repairs as well. So, that's the kind of scenarios we have dealt with. No two downturns are the same. And whatever comes through, our goal is to be prepared and deliver the best value for our shareholders. But we have run at least three, four different scenarios and we know what costs will need to take out. We know where we focus to gain share. And we know that like none of these downturns last very long in our industry.
Joe Ritchie : That's helpful. Thanks for the color Alok.
Alok Maskara: You're welcome.
Operator: Our next question is at Brett Linzey with Mizuho. Please go ahead.
Brett Linzey: Hi, good morning and welcome to Alok.
Alok Maskara : Good morning, Brett.
Brett Linzey: Just want to come back to the commercial business. I appreciate some of the color on backlog. You noted you were sold out there. Just curious what you're seeing on the new order front and how that's been tracking and really specifically around the national account business and how those conversations are going given some of the slower consumer reads coming out of those customers?
Alok Maskara: Sure. I mean, good question. We are not seeing any changes in the demand there. We could solve whatever we make right now. So, I think it's possible that there is an underlying weakness and none of us are seeing it because every manufacturer has extended lead time there. I think one thing that gives us some comfort on these national accounts is that the higher efficiency units have a very quick payback that’s apparent and these are sophisticated buyers. So, despite the consumer slowdown, retailer will get significant energy benefits by replacing the HVAC units and a quicker payback. So, I think that's the piece that gives us some comfort in the commercial cycle is that there is apparent value and a willingness to pay for these upgrades. But we haven't seen any change. We'll keep watching it closely. but we don't expect larger customers to make any significant deviation from their current policy, which is a replacement every few years and get the value of energy efficiency.
Brett Linzey: Okay, great. And just on the contingency plans, I think you made a comment on that in the opening remarks, but just curious how you would handle a more shallow downturn? Would you just ride down the decrementals and try to preserve the integrity of the organization? Would you get it cost pretty quickly? Just kind of high level, how would you think about attacking that?
Alok Maskara: Every time we hit a downturn, if I knew it's going to last exactly for eight weeks, then yes, we will try and preserve the organization. But in reality, we never know. I mean, having lived through many downturns, no. I mean, I think our goal would be to minimize the decrementals like you take tough actions, take the opportunity, I mean, never waste a crisis. I mean, remember that. We will always look at this as an opportunity to strengthen the organization even if it's a smaller organization and take some of the tougher actions. So, no, we would try our best to minimize the decremental and offset it by G&A reduction, offset it by deferred investments, just because we don't know how long the downturn will last.
Brett Linzey: Okay, great. Appreciate the thoughts.
Operator: And our last question comes from the line of John Walsh with Credit Suisse. Please go ahead. 
John Walsh: Hi, good morning everyone and welcome Alok and appreciate the slides this quarter.
Alok Maskara : Good morning, John. Thanks for the compliment. We’ll try and keep the slides going.
John Walsh: Yes. It's hard to take them away. We'll you won't get the praise next quarter if they're gone. You'll get complaints, but I guess…
Alok Maskara: Well being an ex-consultant John, as you can be imagined, I think better with PowerPoint in front of me. So, we do like the small set of 12 slides.
John Walsh: Yes, yes. No. Just looking at the first half margin performance, I think last quarter you'd said that you could grow margins at the total company level, just curious when you think about your mid-point that's in the guidance range you have out there? I mean, what are total company margins doing?
Joe Reitmeier: [Other down] [ph] slightly. Once again, it's just the pressures that we're continuing to feel in the back half of the year, while we have commodities easing, we're still combating inflation on the components and other input side. So, it's sort of the net-net there. All-in, I think margins for the full-year would be down roughly 40 basis points.
John Walsh: Got you. Thank you for that. And then maybe just one follow-up. The Refrigeration incrementals have been pretty strong thus far in the first half about 40%. Do you think you guys can maintain this zip code or how are you thinking about just Refrigeration incrementals broadly? I know you don't give spot guidance.
Joe Reitmeier: Yes, I think we're benefiting from a bit of a tailwind where we're catching up on price as well there and that's lifting it something north of what we would typically target will be 30%, which is what we do for the balance of the company as well.
John Walsh: Great. Well, appreciate taking the calls at the end here. Thank you.
Alok Maskara: Thank you.
Joe Reitmeier: Thanks John.
Alok Maskara: Okay. Thanks for all the questions. To wrap up, I just want to emphasize that the demand remains strong. We are raising guidance based on the strength of our residential and refrigeration business and expectations of continued improvements in commercial. Coming off a record second quarter, we look forward to the second half and will remain focused on enhancing shareholder value irrespective of the macroeconomic uncertainties. Thank you for joining us today. This concludes our Lennox 's second quarter earnings call. Thank you.
Operator: That does conclude your conference for today. Thank you for your participation and using AT&T Teleconference. You may now disconnect.